Operator: Thank you for standing by. This is the Chorus Call conference operator. Welcome to the Westport Innovations’ First Quarter 2014 Financial Results Conference Call. As a reminder, all participants are in listen-only mode and the conference is being recorded. After the presentation, there will be an opportunity to ask questions. (Operator Instructions) At this time, I would like to turn the conference over to Darren Seed, Vice President of Investor Relations and Communications. Please go ahead sir.
Darren Seed - Vice President, Investor Relations and Communications: Thank you and good afternoon. Welcome to our first quarter conference call for fiscal 2014. It is being held to coincide with the disclosure of our financial results earlier this afternoon. For those who haven’t seen the release and financial statements yet, they can be found on Westport’s website at www.westport.com. Speaking on behalf of the company will be Westport’s Chief Executive Officer, David Demers and Westport’s Chief Financial Officer, Bill Larkin and Westport’s President, Nancy Gougarty. Attendance at this call is open to the public and to media, but for the sake of brevity, we are restricting questions to analysts. You are reminded that certain statements made in this conference call and our responses to various questions may constitute forward-looking statements within the meaning of U.S. and applicable Canadian securities laws and such forward-looking statements are made based on our current expectations and involve certain risks and uncertainties. Actual results may differ materially from those projected in the forward-looking statements. Information contained in this conference call is subject to and qualified in its entirety by information contained in the company’s public filings and except as required by applicable securities laws, we do not have any intention or obligation to update forward-looking information after this conference call. You are cautioned not to place undue reliance on any forward-looking statements. Now, I will turn the call over to David Demers.
David Demers - Chief Executive Officer: Thanks, Darren. Good afternoon everyone. Q1 saw excellent progress in our business with some key milestones in both our operational transition and our long-term investment programs, but as I said last quarter, 2013 was a significant transition year as Westport shifted from a focus on market creation to a product and profit growth now that OEMs around the world are shifting to include natural gas products in their offerings. We told you that we had completed our transition work and that we have laid out three primary goals for 2014. Just let me reiterate those for you and then I will focus my remarks on those topics before Bill gets into the actual numbers. So first, we laid out that we would see positive adjusted EBITDA from our operations by Q4 2014 and of course continued profitable growth in our joint ventures. Number two, careful management of our investment programs to ensure that operational cash flow from our direct sales from Westport as well as our JV dividends will cover investment in 2015 and allow us to achieve overall consolidated positive adjusted EBITDA next year. Third, we want to deliver of course on our contractual commitments to our strategic partners and to our key OEMs. We want to develop attractive new customer relationships. You want to continue to remove barriers to rapid adoption of natural gas around the world. But as you can see on the operational slide, it’s taking a look at the bar charts on the adjusted EBITDA. On our operational side, the work to reset our cost structure and to rebalance the product portfolio has delivered a step change in our current operating performance. As you know, we have consistently seen an adjusted EBITDA loss of around $9 million per quarter over the last eight quarters you can see from the bars. And just last quarter, I think we are at around $8.6 million. So at a $1.6 million adjusted EBITDA loss from operations in Q1, we are well on our way to achieving the target of breakeven adjusted EBITDA by Q4 of this year. Let me remind you that our guidance calls for revenue of $175 million to $185 million this year. So it will only take an additional $5 million or $6 million in quarterly revenue at our current gross margin levels and our current expense run rate to reach this financial goal. We believe this is a realistic and achievable path and given that we are forecasting roughly 30% year-over-year growth from our current product portfolio, Q1 of course, we saw 39% year-over-year. We think this business is now setup to deliver first, enough cash from sales to cover expenses and then second, traditional earnings growth. New products such as the WP580 engine management system, the iCE PACK LNG systems and LNG tenders in the rail business are going to deliver platforms for future growth and the operating business starting this year. Now looking at the current business, the changes we made over the past six months have eliminated unnecessary costs and they have allowed individual businesses to emerge successfully. So for example, our Ford truck business after the acquisition and integration of BAF last year has been consolidated into the former BAF facility in Dallas. Now we are by far the largest player in the Ford QVM program with over 70% market share and we have the product portfolio and scale that we need to be able to operate this business profitably. Similarly the Volvo car business in Sweden has improved dramatically with commitment from Volvo to work with us to deliver volumes through their traditional dealer channels in Europe. This business is now profitable after three years of investment. Our on-road business unit revenue was up 277% to $17.7 million compared to $4.7 million in the same period last year. This is great and it’s a sign of where we believe the market is growing. The majority of revenue comes from the sales growth of our existing products. The applied technologies group continued to see growth in sales to China and Russia and we continue to diversify our products and markets outside Europe. The revenues are down slightly overall, primarily due to a decrease in sales in Italy with the struggling European economy. With our relationship with Fiat and a broad distribution network in Italy, we believe we are well positioned to take advantage when the market recovers. Moreover after officially launching the WP580 system with Tata in February for bus and truck applications, we are now working with Universal LNG to use this controller system for industrial applications such as water pumps. Both of these products and markets provide potential growth and offset for specific markets that are affected by local economic situations. I believe it’s important to note that HEG’s gross margins are very healthy. Therefore as new products and markets emerge this business should quickly get back on track to positive adjusted EBITDA growth. Now turning to our next slide on corporate and strategic investments, as you know Westport is co-investing with several OEM partners to develop a portfolio of new natural gas vehicle products and the technologies and related systems and components to do that. Since 2012 we have invested roughly $215 million into various development programs of this class. There are three major application areas global trucking, which I believe is the green wedge you see on the pie chart, automotive and third off-road applications such as rail and large mine trucks. We also have a portion of this investment allocated to advanced engineering and capital expenditures, but for the most part these investments are for specific products with specific partners and they have a suite of five year development cycle from the start of development to product sales. We are carefully managing these programs and we allocate capital to products and technologies that we expect can deliver high returns in the future. Our strategic investments are of course what we believe are going to be significant game changing products. From the same segmented reporting R&D alone in corporate and technology investment was $14 million this quarter. I hope it’s obvious why we can’t disclose exactly what we are up to or much of the detail of these programs, but from previous disclosure we can confirm that the following breakdown as shown on the slide is about 35% has gone to HPDI 2.0 programs with various OEMs including Volvo and Weichai and our Delphi alliance and 10% has been allocated to off-road products with Caterpillar and EMD and 45% represents other product programs in advanced technology. For example, the announcement recently of GEMDi technology with Tata in March would fall into that last category. I should point out that not all R&D is considered as strategic investment and the investment programs aren’t just categorized as R&D on the financial statements. The operating business needs to develop and support their current product portfolio and their current markets. And we need for this R&D to be coming from cash flow from current product sales, so that’s the way we are currently structured. The operating business is paying its way. R&D is going to be a critical element in our business going forward. If you look at the statements you can see the operating units reported R&D of around $5.5 million this quarter to be about 13% of revenue. We think this is a reasonable ratio and a healthy allocation for a technology leader like Westport. My point here is that we expect current operations to pay for their R&D on an ongoing basis and the teams are already doing that. And our breakeven metric includes a sustainable level of R&D which means that these programs except advanced engineering are going to deliver specific products with our specific partners. And we also think that these are going to have broad application with other markets and other partners in the future. Westport retains the IP rights typically with some territorial market restrictions to allow our launch partners first commercial opportunities. We disclosed some significant milestones under the investment portfolio this quarter. For example, the joint development relationship with Delphi for HPDI 2.0 fuel injection systems and the announcement earlier this week that we had reached agreement with Weichai on both the launch of their 12-liter HPDI engine product this year and a newly announced 10-liter HPDI program. Turning back to Delphi as we disclosed in early March, together we have developed a joint strategy for developing second generation fuel injection components for our HPDI systems that will be made in Delphi facilities under an agreement giving Westport control of key production equipment and tooling. This would deliver dramatically lower costs, which we expect we will be able to pass on to our OEM customers. And in turn, this will accelerate the adoption of natural gas trucks around the world. The initial production capacity that we have planned with Delphi is targeting 100,000 injectors per year. So, if you think of six injectors per engine, per truck, that would imply a capacity of 16,000 trucks annually. This will be scalable and capital efficient as these markets develop. With Weichai, we are launching the 12-liter engine product now with 30 customer trucks being built now with the expectation that we will be in a position to begin volume production of trucks in China in 2015. With the newly announced development of the 10-liter engine platform, we will be tapping into approximately 75% of the joint venture’s current sales volume. HPDI will remain a premium product in China, but with the HPDI 2.0 components, the notional price differential should come down dramatically and we would hope to see strong growth in this market. So as I wrap up, 2014 is the beginning of our next phase in development of our long-term vision of high-performance natural gas vehicles in markets around the world. We have laid out our plan. We believe Q1 demonstrate that the plan is achievable and it will deliver global market leadership of what is emerging as a very large potential business. I firmly believe that Westport and our shareholders are in the right place to take advantage of this new opportunity. So, thanks for your support and the interest. I will turn the call over to Bill now to run through the financial highlights.
Bill Larkin - Chief Financial Officer: Well, thanks David and good afternoon everyone. I will begin with a brief overview of our first quarter results. For the quarter ended March 31, 2014, we recorded consolidated revenue, this is excluding our joint venture revenue, of $41.9 million compared to $30.1 million in the prior year period. This is a 39% increase quarter-over-quarter. The breakdown of revenue by segment is $21.9 million for applied technologies, $13.7 million for on-road systems, $1.3 million for off-road systems, and $1 million for corporate and technology investments. CWI earned $80.1 million in revenues, a 79% quarter-over-quarter increase in revenues. This is on the delivery of 2,480 units, which is an 89% increase over the prior year period. Weichai Westport earned $113.4 million in revenues and this is a 7% quarter-over-quarter increase in revenues on the delivery of over 9,100 units, which is an 8% increase over the prior year period. Our consolidated gross margin and gross margin percentage for the first quarter were $12.3 million and 29.4% compared to $8.1 million and 26.9% in the prior year period. This increase in gross margin percentage for the quarter is due primarily to sales of higher margin products such as the Westport WiNG product and service revenue. Research and development expense were $21 million for the first quarter compared to $20.4 million in the prior year period. Selling, general and administrative expenses were $18.3 million for the first quarter compared to $19.1 million in the prior year period, as a result of our cost reduction efforts. For the first quarter of 2014, our net loss was $23.9 million, or $0.38 loss per share compared with a net loss of $31.8 million or $0.57 loss per share in the prior year period, including our net loss for the first quarter of 2014 is our portion of CWI’s net loss of approximately 800,000. During the first quarter, CWI’s operating performance was impacted by $15 million in warranty-related adjustments, primarily related to the 8.9-liter ISLG engine, which reduced our overall EPS by $0.08 per share. Excluding this warranty impact, our portion of CWI’s income would have been approximately $4.1 million. The ISLG engine has generated good cash flows for the joint venture partners. To put things into perspective, the total contribution margin from sales of the ISLG engine has been approximately $340 million, of which CWI has spent and accrued warranty related costs totaling approximately $165 million. Even with the increase in warranty this product is still generating cash. We are confident the CWI team will get the warranty related items fixed and gross margin and cash flows will improve. As of March 31, 2014 our cash, cash equivalents and short-term investments balance was $183.9 million. During the first quarter we used $26.7 million in cash which includes a one-time payment of $5 million for our previously announced joint marketing and sales program related to the acquisition of BAF in 2013. And the CWI warranty adjustments recorded in the fourth quarter of 2013 this last quarter reduced the first quarter cash distributions to us by approximately $7 million. As noted on Slide 3, our adjusted EBITDA loss from operations was $1.6 million compared to a loss of $8.6 million in the prior year period, which is an 81% sequential and quarter-over-quarter improvement. This reduction in adjusted EBITDA loss from operations is a direct result of our cost reduction initiatives such as consolidating our Ford QVM program in our Dallas facility and our decision to move to the second generation of Westport HPDI. Our consolidated adjusted EBITDA loss for the first quarter was $22.1 million compared to a loss of $26.3 million in the prior year period. We have been describing the Westport financial plan and our path from a heavy investment phase to overall cash flow and profitability as the shift from petroleum based fuels to natural gas continues. In the near-term we have communicated specific metrics and milestones so you can measure our progress on adjusted EBITDA. While the path won’t be in a straight line of course, our progress should be very visible. In that vein I wanted to walk everyone through the way we are looking at the next two years and these financial milestones and how it impacts our cash. We want to make sure it is very clear how these pieces fits and where we have enough cash now to achieve our goals in the future. The key pieces are on Slide 3. You can see we are well on our path to positive adjusted EBITDA through significant organizational efficiencies, product portfolio optimization and cost reductions in our operating businesses and with an additional $5 million to $6 million revenue with existing margins and costs, we believe we can achieve our stated goal. Also we have products launching in 2014 and ’15 such as Weichai’s 12 liter with Westport HPDI and Tata with the WP580 technology that will drive new sales and gross margins. To help the company drive to its second financial milestone in 2015 with positive consolidated adjusted EBITDA, our corporate investment portfolio and our other expenses including long-term capital investments will be covered by three things internal operating income, improvements in the cash contribution from our joint ventures and three, expense recovery from our development partners. Obviously, we expect that our investment portfolio will continue to contribute to our income stream. And as these investments roll off into production we have options on the piece of new investments I am sure we can manage this goal. As noted on Slide 4, we are also investing in new product developments at the corporate level. And we have corporate and public company expenses to cover. We report these in corporate and technology investment segments and you can watch our progress here too. Westport is co-investing with OEMs to develop a portfolio of new natural gas vehicle technologies and related systems and components. We are carefully managing our investment programs and allocating capital to products and technologies designed to deliver high returns in the future. We are reviewing every project where we are investing money in the mix of short and long-term product development projects in our portfolio. This is a new path for Westport along a very disciplined steps. We believe our business model can and will deliver great value to our shareholders as this market shift plays out and we believe the path forward to strong financial returns is now clear. I will now pass the call back to the operator to open the call for questions. Operator?
Operator: Thank you. We will now begin the question-and-answer session. (Operator Instructions) The first question today is from Laurence Alexander of Jefferies & Company. Please go ahead.
Laurence Alexander - Jefferies & Company: Good afternoon. Two quick ones if I may. First, can you give a little bit more detail on what you did to achieve the cost cutting results that you have done so far. And then can you also give some perspective on how sustainable that will be and what you can do on the corporate expense line. And then secondly on CWI, if the warranty accruals do reverse, does that have any impact on your cash flows?
Darren Seed: Okay. Nancy, do you want to take on the first question on what we did on... 
Nancy Gougarty: Sure, yes. In terms of the cost cutting and on the sustainability of it, Laurence let me start out by indicating to you there is a cure joke going on in the company that new sheriff’s in town and guns are blazing. So understand that we have got the full attention of the organization and we have got the whole organization understanding that calendar year 2014 is a critical. I would say our single focus really is on creation a shareholder value and making sure that we are getting full value out of every dollar that we are spending. So what are we doing, I would say we are doing lots of different things, some things that are catching low hanging fruit and other things that are really deep diving. But to give you some idea and David mentioned this in his opening remarks for instance after the acquisition of BAF, we have done such things as consolidated facilities. So at this point in time where we had folks that were in Detroit, folks in Louisville and folks that were in Dallas that now has now been thinned down, so all in all between last year and this year we have now closed five or we are in the process of closing five different facilities and consolidating that. Now that came out also a new process that we have put in place so that it helps us with capacity planning understanding where we need capacity and how we need to generate that capacity around the world. So that’s – so I think in those regards you can see that kind of savings will have ongoing effect as we move forward. I would tell you that there are lots of heavy lifting items such as pricing, policies and programs and making tough decisions with the employees and making sure that we are focused on those events that are going to create value from a shareholder perspective and satisfy our OEMs need for the natural gas and their quest to participate in this market. I would tell you at this point in time that we have clear expectations relative to each employee in the company of how they are contributors to the positive profit of this company and continuing communication, whether it be through town halls other events with employees to make sure that everybody is fully focused on creating value and making good decisions and raising decisions, so that we can make them in a swift, fast fashion. Okay.
Bill Larkin: I think I will take on the second part of the question regarding if there is a reversal. The way the warranty process works, it’s more of a historical perspective and trying to project forward. If they start seeing improvements in the warranty history that would naturally result in a lower future projection of our warranty costs and would most likely result in a reversal of a portion of that accrual. And that would ultimately trickle down to the bottom line. And then the way the joint venture agreements written, the Board looks at declaring potentially clearing dividends on a quarterly basis. And so that would naturally transition into cash flow to Westport if there was a reverse.
Laurence Alexander - Jefferies & Company: Just, can you specify how much potential dividend is currently bottlenecked at the JV level?
Bill Larkin: Say again.
Laurence Alexander - Jefferies & Company: Can you just quantify how much of…
Bill Larkin: I think we have got about $90 million?
Laurence Alexander - Jefferies & Company: Of potential dividends. Okay, thank you.
Bill Larkin: Well, that’s what’s hanging upon the balance sheet right now.
Operator: The next question is from Vishal Shah of Deutsche Bank. Please go ahead.
Susie Min - Deutsche Bank: Hi, this is Susie Min for Vishal Shah. Thanks for taking my question. I wanted to dig in a little bit on applied technologies, I know you had mention Italy was weak but this is typically a steadier business. So one, I guess I want one of you to elaborate a little bit more on how you see the year for applied technologies and is the lower margins a reflection of the China mix that you talked about. And then I have a follow-up question?
Nancy Gougarty: Well, let’s see I mean let’s talk about ATG, the automotive component I mean as you know Fiat if you look at the European market you know that Fiat’s had a relatively weak first quarter. One of our biggest customers obviously being an Italian company living in Italy and that market is Fiat else what we have there is they have gotten a bit cold, we got cold with them. Now the interesting thing is that we are seeing a real good sizable uptick in the China market and also in Russia as David mentioned in his opening comments. I think from the ATG it’s all again about making sure that we are getting new products out. We are serving the market from a global perspective, so we are now reaching into the U.S. and other markets with our components. And we are finding that we are getting success. Now a lot of that is that we are priming the pump at this point in time and those sales will be coming down the road. But as we talked about with Tata we had now got the 580 controller on that, that’s a positive step. And we are seeing similar steps along the way. But at this point in time unfortunately we don’t have any real giant steps at the moment but it’s a continuation of real strong small steps and success with multiple OEMs.
Susie Min - Deutsche Bank: Okay and in terms of China revenue contribution to the product can you just maybe give context whether it be a percentage or how much growth you are seeing maybe quarter-over-quarter?
Nancy Gougarty: I don’t know that I have that number, I can tell you that if I look over the Italian operations the year-over-year we are seeing something in plus 50% growth. But I don’t have specific numbers that I can give you in terms of where what it specifically looks like. We have a variety of different customers and certainly China is one of the markets that is fully embraced on this natural gas technology. So – but I don’t have that number at hand here.
Susie Min - Deutsche Bank: Okay, I mean – so I just want to make sure we shouldn’t interpret the fact that the margins have declined due to just greater exposure to China and potentially lower profit margins?
Nancy Gougarty: I guess I wouldn’t say that I mean I would say that there is – the product mix is changing as we talked we got controllers and we got other components. So with the product portfolio of mix I think that that’s part of what you are seeing in quarter one. But I wouldn’t say it’s a regional remix of volumes. In fact, I would say in the China market with the customer base there is real high focus on high quality parts and making sure that we have good manufacturing systems and those kinds of things. So the criteria in China actually as we are working with one of our OEM customers, actually really set a threshold higher than that that we had for some customers that were in Europe.
Susie Min - Deutsche Bank: Okay great. Thanks for taking my questions.
Operator: The next question is from Jerry Revich of Goldman Sachs. Please go ahead.
Jerry Revich - Goldman Sachs: Alright. Good afternoon.
Darren Seed: Hi Jerry.
Jerry Revich - Goldman Sachs: I am wondering if you can talk about what proportion of current Weichai Westport sales are for LNG versus CNG applications. And then if you can just help us get a sense for the products that you are launching, are you going to be using SER to meet the NS4 standards just more color there would be helpful?
Nancy Gougarty: I don’t know that I can do that NSR4 standards for you, but let me try and see if I can answer the LNG, CNG. As you know what we are finding in the China market LNG is really at this point in time on the rise and I think that what you see in major metropolitan areas still CNG, but with the complex rule outlay within the China market LNG certainly plays a very, very strong position in that market. And so a lot of the growth that we are seeing in terms of infrastructure as well as customer demand happens to be on the LNG side. So at this point in time I would say that the fulcrum on a teeter totter is now leaning a bit towards to the LNG side. But in major metropolitan areas just because of fueling infrastructure we are still seeing CNG being the preferred technology so on buses and applications like that it’s still on the CNG. But as we get into the trucking out into the third and fourth tier cities we are certainly seeing a strong pull for LNG.
Jerry Revich - Goldman Sachs: Okay and I apologies the second part of the question are you going to be using SER systems on HPDI engines in that market or are you meeting the engine regulations?
David Demers: Looking keen, but I mean the short answer is no for the Weichai systems there is sort of (indiscernible) form, we don’t need SER.
Nancy Gougarty: Yes, I think that right now we are for the HPDI we are going for Europe part.
David Demers: China.
Nancy Gougarty: Is it China part?
David Demers: Yes, China part.
Nancy Gougarty: Okay. But and at this point in time our goal would not to have to use that out of cost and performance. And we think that we can achieve those without that. But we have to get through all the certifications I think before we declare victory on that.
Jerry Revich - Goldman Sachs: Okay and then in on-road systems can you talk about how much of the 900 unit iCE PACK order you achieved you shipped in the quarter and just touch on additional order prospects there if you could?
Nancy Gougarty: I would say the answer is no, I won’t comment on how many, I would tell you that our number of customers is climbing. We are getting quite interesting feedback from the market and we are finding that quite a bit of interest from a variety of different constituents, truck owners and I will say fleets, all the way to OEMs. So we are now not just seeing individual people buying it, but we are seeing lot of interest from a fleet perspective and because of that strong fleet perspective, we now have the OEMs asking about how we could create collaboration.
Jerry Revich - Goldman Sachs: Okay. But maybe you can touch on if bookings were in line with shipments this quarter or ahead below, just give us a rough sense?
Nancy Gougarty: I would say that, I would say for a product that’s out of the gate we are pleased with where we are.
Jerry Revich - Goldman Sachs: Alright, thank you.
David Demers: I think what we said in the past Jerry is the 900 was split over two years with universal LNG, and it was a pretty even spread for the 450 this year. I don’t think you get a bumpy shipment level by quarter, it’s not a straight line, but it is more or less spread throughout the year.
Jerry Revich - Goldman Sachs: Thanks.
Operator: The next question is from Eric Stine of Craig-Hallum. Please go ahead.
Eric Stine - Craig-Hallum: Hi, everyone. I just wanted to start with Weichai and the commitment to HPDI. Just thoughts, I guess thoughts on your end, but also thoughts with Weichai has expressed kind of how they see the mix between HPDI and spark as the market develops going forward?
Nancy Gougarty: Yes. I would say that, it’s interesting, because you can see based on the volumes that David discussed, but obviously the spark ignited is a big seller in the market. And the numbers that I mean, I think if I talk to many people, people continue to be quite surprised with how robust the China market is for this particular product. At this point in time, I mean, because we are right now on the initial phases of getting customers into the truck and getting performance characteristics and getting their feedback on the performance and its how it performs relative to torque and power compared to diesel and that kind of thing. We are getting, I will say feedback now that’s indicating that it does have great potential in the market giving you an exact split is tough for us at this point in time, because we are working with several OEM partners as we move this engine into their fleets. And so it would be really inappropriate for me now to try to delineate what their specific plans are.
Eric Stine - Craig-Hallum: No, understood. I guess it was just looking for your thoughts that, that was helpful. Maybe another way to look at it just to frame the overall opportunity, can you just remind me of what the diesel sales are of that – of the WP12?
Nancy Gougarty: I have the reports let me – I have got the Weichai after the earnings call, I don’t know that I would know that’s right off the top of my head, I can take a look at it, but I…
David Demers: I think Eric also in the past you saw several hundred thousand in the neighborhood of about 400,000 heavy duty truck engines. And I think the data point we have been using is that roughly 70%, 75% of the engine sales of 10-liter and 12-liter in the joint venture are natural gas in the 10-liter and 12-.liter, which is where HPDI’s aim. So I think you probably instead of maybe looking at the whole diesel market, you can probably get a way more accurate proxy for natural gas adoption for HPDI in the level, given the – again just the 70% of the track record right now running this year on 10-liter and 12-liter sales of natural gas. It’s going to be whatever HPDI can add to that.
Nancy Gougarty: In their first quarter announcement, there isn’t anything that I could provide further clarity on that. And that’s not a number that I have normally served with on that side.
Eric Stine - Craig-Hallum: Okay, fair enough. Maybe just one last one on Weichai, just to clarify I mean it sounds like it, but the Delphi agreement with Weichai coming on going forward, I mean, there is – I mean, there is the agreements in place that it can be more than 100,000 injectors a year.
David Demers: Yes. Obviously, Eric, we published the number, because we are say reasonably confident that we have got that kind of demand profile. And so that’s what we planned for. And it’s not Weichai, obviously we are launching HPDI engines with Volvo and working with other.
Eric Stine - Craig-Hallum: Well, that’s my point. I mean that this can – I mean that’s 100,000 but that’s a number that we could see move up and you can do that fairly quickly in response to Volvo, Weichai and other HPDI 2.0?
David Demers: The whole point of the alliance with Delphi is to take advantage of their global scalability and their ability to deliver those volumes. Obviously, we need some notice, it doesn’t happen overnight, but this gives you an idea of the scale we are planning, it’s sizable. We think it’s a material, it’s a very interesting number to the industry, it says that natural gas and HPDI in particular I think is coming. And there is plans to actually deliver it rather than just do the market demonstration steps that we have been doing in the last two years. So yes, it’s a start, certainly neither of us, neither Delphi nor Westport want to throttle the market at 100,000 injectors a year. As demand rises and as new products hit the market we want to build that supply chain. But we can build it intelligently and with some certainty of the volume that we need and with reasonable allocation of capital.
Eric Stine - Craig-Hallum: Okay. That’s what I was looking for. Thanks a lot.
Operator: The next question is from Rob Brown of Lake Street Capital Markets. Please go ahead.
Rob Brown - Lake Street Capital Markets: Good afternoon. Could you give us a little more color on the 12 liter demand ramp kind of where you are at, I know you won’t give us units but maybe a sense of how that’s ramping relative to sort of when it started last fall and do you see that on track to kind of hit that 4% to 5% penetration rate this year?
David Demers: Hi Rob. So Darren is waving his hands I think that it doesn’t take a lot of arithmetic to look at CWI’s sales performance this quarter we are quite happy that the demand is high, big part of that demand is the growth in the 12 liter. 12 liter demand is right on track for what we said. We said last year trucking sales were about 1.7% of the market, around 3% to 5% is the – is our expectation for this year. We aren’t subscribers to the somewhat a crazy numbers we have been hearing from some people. But we think 3% are on kind of the same scale with last year we have been looking say 6,000 engines between the 9 liter in trucking and the 12 liter some 6 to 10, it’s kind of the path we have been suggesting is realistic given the pace of infrastructure, the pace of adoption in fleets, the demand that we are seeing. So we think that’s quite credible and products are doing quite well.
Rob Brown - Lake Street Capital Markets: Okay, good. Thank you. And on your new development programs that you have sort of been working on but haven’t given us color or announced them, when do you see product sort of entering the market in that group of projects sort of what’s the next key product launch in that group roughly?
David Demers: Well, as we said is a bit of a portfolio and we have actually uncovered a lot of this as you have seen. The Weichai 12-liter engine is going to be in production this year, volumes next year. The WP580 automotive product that’s started with Tata is in production this year. LNG tenders for the rail business we are starting to sell those and deliver those now. So lot of these investments we are early on in 2012. I think if we look back the last couple of years the 2012 announcements started with Volvo and Caterpillar. And we have specific dates for those products here in the market and then a sequence of others. So I think you are starting to see the product delivery coming out of that, that heavy investment cycle that we have been under for the last two years. But the bulk of them are going to be ‘15, ‘16, ‘17. Locomotives, it’s going very well actually the industry interest has been surprisingly high. The first locomotive though on test is going to be going to (CN) this summer, so this is still fairly early stages. And I think EMD is still looking at 2017 launch for that product, but there is still development to be done and a lot of work to deliver. That said, we think it’s a very promising opportunity and obviously a great partner and a financially viable path where a lot of the costs are being paid for by others. So you can run through that pie chart and I think come up pretty quickly with how we have allocated these and get a sense of how we expect the returns to play out. But these are large markets with global partners I think we are going to do quite well.
Bill Larkin: And I think we have taken a lot of heat for – in the end of last year when our HPDI 2.0 release we have named four of the partners we are working with and three of which were unnamed. And I definitely understand people are very interested to find out the names of these parties, but I do want to communicate how important it is that these programs are moving forward through their development process. So despite the fact, we at our – frankly at our OEM partners’ request have not disclosed their name. These programs are moving forward. And so by the time, these OEMs are comfortable with disclosing the nature of their development and product, it will be that much closer to what might be an actual product available. So, that just might be one point of clarification around some of these investments and OEMs programs we are doing.
Rob Brown - Lake Street Capital Markets: Okay, great. That’s good color. Thank you.
Operator: The next question is from Alex Potter of Piper Jaffray. Please go ahead.
Unidentified Analyst: Hi, this is Winnie asking a question on behalf of Alex. In terms of pricing, how much does the HPDI 2.0 engine cost compared to the other engines? And the Weichai and WPRT joint venture presumably is more expensive but we are just interested in the size of the pricing premium for the engines?
David Demers: Yes, I am not sure, why it’s – it would be more expensive. Actually, we have dropped costs pretty substantially. I think again for OEM, confidentiality purposes we have never given out prices. What we have said is that ASPs are going to be 20,000 to 40,000 for the HPDI systems. Obviously, that applies to the HPDI 2.0 systems with LNG tanks and pumps and all the on engine systems. So the price to the OEM which is the revenue we would see is between 20,000 and 40,000. And no difference really in the parts that are going to Weichai or Volvo frankly, there is very high level of overlap. Some localization may change some pricing and shipping costs and things like that, but in general, you should use that 20,000 to 40,000 range which I realize is a big range, but we can’t disclose exactly what’s going on for obvious reasons.
Unidentified Analyst: Okay, great. Thank you. And just a follow-up, can you comment on the update for the 12-liter engine produced by the Cummins Westport joint venture, how would you say volume is tracking there versus expectation?
David Demers: I think we just didn’t….
Bill Larkin: Answer that, I think.
David Demers: Answer that. When the – the numbers that we have given out publicly around trucking, we don’t breakdown by individual engine product, but we have said in the trucking business, it was about 0.7% two years ago, it was 1.7% of the market last year. And we are expecting to be 3% to 5% this year. I think the infrastructure development has been very encouraging and the fleet response to 12-liter has been very good and early customer feedback is good. So we don’t see any need to change that outlook at this point.
Bill Larkin: I think it’s going as we expected, Winnie. I think as David made the opening or one of the remarks to other analysts that there has been some pretty wild expectations out there, but it’s so far going to our expectation.
Unidentified Analyst: Okay, great. Thank you.
Operator: The next question is from Carter Driscoll of Ascendiant Capital Markets. Please go ahead.
Carter Driscoll - Ascendiant Capital Markets: Thanks for having this. Maybe just a follow-up on the AFD question, could you maybe share with us what you expect maybe percentage of ours to sell any of the JV which is outside of it?
Bill Larkin: Fair enough, Carter. You are talking about HDPI with Weichai. The system is basically broken down, where a lot of the on-engine system pieces are going to the Weichai Westport joint venture. And a number of the off engine systems like tanks and some pumps may go in some cases directly to the truck OEMs. We can’t breakdown, because in essence the question would be what’s the breakdown between on and off engine system? And unfortunately today for competitive reasons what we can provide is this $20,000 to $40,000 for a one tank system average. And just unfortunately today, what we can say is some is going to the JV and some is going to the truck OEM. And that’s the answer we have to give you today, Carter, sorry.
Carter Driscoll - Ascendiant Capital Markets: Fair enough. You talked about maybe some of the factors that would push forward or push back the production from 2015 to the same types of things we faced with 12-liter engine in the U.S., maybe just quality what move in the quarter for the backlog?
Bill Larkin: I think, I will add one thing and Dave will add in too, Carter. The one thing about China that gives the tremendous advantage over the North American market is infrastructure. I think right now, there are several thousand LNG stations available in China versus a much smaller number in North America. So the first point being is there is lots of places to fill up. And I will handle it over to Dave for any other challenges or potential impediments we might run into.
David Demers: Yes, I think as Darren said it remember we are building on an existing market already, the JV did looking to build 38,000 engines last year, 50,000 is rounded up. And they have just announced, the JVs announced that they are increasing capacity to 100,000 engines a year. Typically 70% of that is going into the truck business. So you can get that sense, last year there was probably 30,000 natural gas truck engines shipped just out of the JV. So there is a lot of existing customers, there is a lot of existing infrastructure and the take up for HPDI therefore should be that much easier. The obstacles around building customer satisfaction with shifting from diesel to gas, all the questions about where refuel all of those things are much more straight forward now in China. We want to get the U.S. market and the European market to that same state that’s going to take some time, which is why we are trying to mute some of the wilder expectations on market adoption. But we do think this is an inevitable trend and growing the truck business 100% this year is not unrealistic that’s the low end of what we see. So over the next few years this will develop. We just think that the work that’s been done by the JV in China is creating a readymade market for HPDI and we should see rapid take up for that.
Carter Driscoll - Ascendiant Capital Markets: Okay and then maybe just if I could shifting gears a little bit the wing program I know you are not going to be giving us units anymore but is your expectation consistent with what you had hoped into this year. And then I am assuming it’s still heavily dominated by biofuels that’s the majority of your offerings, but is there any update for the CNG only products?
David Demers: Yes, I think a big part of what we have done is to build that product portfolio and combine the two businesses for the last few months. So I would say that’s being the overwhelming focus. Volumes are up, it’s the businesses are profitable. The two businesses together are profitable which is good. I think we just saw announcement on the F150 availability certification in California. So these are new products that I think are going to do well. So I don’t think again this is something that we can say is going to be $1 billion business. This is all about building the demand so that we can start to see production on the line with Ford and others as we see the fleet demand for natural gas develop. So slow and steady but the idea is to build a profitable base that we can grow from and I think we have done that.
Bill Larkin: I think Carter also next week at the ACT Conference in California I think there might be something to see there so if there is – if you are interested you should come by the ACT Conference in Long Beach California next week.
Carter Driscoll - Ascendiant Capital Markets: Great. Thanks Darren. I will pass it along guys. I appreciate your time.
Operator: Next question is from Colin Rusch from Northland Capital Markets. Please go ahead.
Colin Rusch - Northland Capital Markets: Hey guys. Can you just walk us through the current debt, it looks like you have got about $53 million some of that’s a revolver, but your plans for refinancing that and when we should expect timing on that?
Bill Larkin: We are thinking about refinancing the current debentures which are slated to mature in mid-September, so we are in the process of evaluating our refinancing options.
Colin Rusch - Northland Capital Markets: Okay.
David Demers: And I think the remainder of the debt Colin is largely at our subsidiary level. And I think that’s just going long and being serviced. It’s got a very low interest rate. But it’s also an Italian bank. So I think we are focused as Bill says on the refinancing of the current debentures that…
Colin Rusch - Northland Capital Markets: So we are just looking at that $32.5 million is really what you guys are working on right now?
David Demers: $6 million Canadian, which is U.S. is that $32 billion.
Bill Larkin: It’s about $34 billion yes…
Colin Rusch - Northland Capital Markets: In the range there. Okay, and then just in terms of cash from operations it looks like you are mining the balance sheet a little bit in terms of paying down receivables and payables. How much more of that can you do you think, I mean is there some additional cash that you guys can start pulling out of the balance sheet over the next few quarters?
Nancy Gougarty: I would say that from an operations side I think it’s large focus and project that we have kicked off on lean manufacturing. And as you know, one of the elements of lean is to look at material needs and making sure you are ordering what you need and only have on hand what you need. So I think that from that perspective, in Italy and elsewhere in our larger operations, lean is a focus and it is now formal projects kicked off on that. So, I will leave it from an operation sense there and hand it to Bill from a….
Bill Larkin: No, I think just becoming, focusing on more efficient working capital looking at day sales outstanding for receivables, looking at our payables versus Nancy said, looking at our inventory and more effectively managing that. So we are focusing on more effectively managing our working capital throughout the entire company.
Colin Rusch - Northland Capital Markets: And how bigger opportunity do you think that is for you guys, is that a $10 million opportunity, $20 million more than that once you kind of…
Bill Larkin: Yes, I can’t quantify that for you right now, because as our business continues to grow that’s – those ratios are going to change.
Colin Rusch - Northland Capital Markets: Okay. And then just one final one, you said some very clear EBITDA targets and are making steady progress towards those. How much optionality do you have in terms of gross margin increasing or reducing SG&A relative to sales as if we see slower or faster adoption on the technologies are reaching those EBITDA targets? Is there much toggling that you can do or should we be thinking about a target model all-in as we go forward?
Nancy Gougarty: Yes. I would say that certainly as you know gross margin and profit is obviously the focus. And as I mentioned earlier, as we look at shareholder value, those are obviously key metrics for us. So I would say we are looking all the way through the chain relative to understanding what we need to do from the supply side, what we need to do from our own manufacturing side. And then of course, what kind of overhead do we need in order our support the businesses? And I think what we are finding is that by using our operations around the world, we are getting some global synergies by breaking down some businesses and allowing those businesses to support other businesses globally. So I would say that from my perspective, part of our issue is as we introduced some new products depending on where they are in their lifecycle, some have very high margins than others. So some of what you are seeing I think in some cases on gross margins is a mix issue and those kinds of things, but I would say we are working hard at it. And our expectation is to make sure that we are getting the best margin out of the business as we possibly can.
Colin Rusch - Northland Capital Markets: Okay, I have got some follow-ups. So I will take them offline. Thanks so much.
Operator: Next question is from Matthew Blair of Macquarie Capital. Please go ahead.
Matthew Blair - Macquarie Capital: Hi, good afternoon. I want to touch on the very good gross margins of 31% in the on-road segment, can you walk us through where this uplift is coming from and also the wording in the release makes it sound like it’s pretty sustainable. So, is that a good number to use going forward? Thanks.
Nancy Gougarty: I would say that the gross margins that we have there on the on-road business obviously is coming from a combination of a variety of our different business portfolios. I would say that yes, we continue to look at our gross margin and that’s one of the areas that we have very, very laser focused actions on in order for us to maintain and to grow that. I can’t at this point in time pick out one or two items that I would – I could contribute to it, I think it’s a whole bunch of things that we are doing that is contributing on that front.
David Demers: I think at least it’s reasonable, Matthew, for example on iCE PACK, because it is a new product, as you know with pretty much every product we ever launch, you do typically take a reasonably conservative warranty accrual in march on the product we launch. So that what might come into play as that product sells, it is a simple mix of on percentage, right. You are selling more iCE PACKs at a lower percentage, that may have an impact, but otherwise the other products, their businesses, which are more mature.
Nancy Gougarty: 15-liter…
David Demers: Yes, and in 15-liter, there is definitely the first generation of HPDI by frankly not having that in the mix. It allows the rest of the business to show a very good gross margin. So, I think other than product mix, Matthew, I think it’s most of these products frankly I mean between ServoTech, BAF, Volvo, a lot of those are fairly mature products actually. There is a number of them out there, just the only possible impediment to sustainability would just be simple mix of newer products with conservative margin, that’s all.
Matthew Blair - Macquarie Capital: Okay, great. Thanks. And then I also want to clarify something on the HPDI 2.0 systems for Weichai and Volvo, so the ASPs of $20,000 to $40,000 that includes the fuel tanks right, the off-engine components?
David Demers: One tank system. One tank system average.
Matthew Blair - Macquarie Capital: So, if the truck OEM goes through a competitor for the LNG tank system, then the potential revenue and profitability to Westport might be a little bit lower than that $20,000 to $40,000 number?
David Demers: Yes, the – honestly we work with lots of people who manufacture LNG tanks, let’s be clear on that, but it is a Westport system spec and a design that has to take the LNG pump that we also spec. We will work with anybody who will manufacture to our spec. And clearly, we want to localize LNG tanks in China to avoid shipping costs and to take advantage of lower costs, but it’s still going to have to be our spec. And so how it gets sold and how the margin gets shown, we would expect to be the same, no matter where it comes from and no matter who makes it. Whether the OEM has a preference or not in China, again, that’s something we are happy to work with. We want to work with the supply chain that can deliver the volume and deliver the quality that we need for the system, but it does have to be an HPDI tank and supply the engine with the fuel flow rates that we need. So, as it stands we would expect all the systems in China to be in that $20,000 to$ 40,000 ASP, no matter who this player is.
Matthew Blair - Macquarie Capital: Okay, thanks.
Operator: Next question is from Pavel Molchanov of Raymond James. Please go ahead.
Pavel Molchanov - Raymond James: Thanks for taking my question guys. I want to go back to gross margin, but in relation to Weichai specifically, so you are now shipping almost 10,000 units a quarter and yet your gross margin seems stuck in the mid single-digits. Is there anything that realistically that can change that, because it seems like sort of a profitless prosperity scenario?
David Demers: So, I will leave it to Bill.
Bill Larkin: Alright. So, as we all know, China is a very, very competitive market. And lot of it’s overpricing and we support Weichai’s competitive pricing, because we look at the benefits of eventually being a supplier to the joint venture for our technology whether it’s HPDI or being a component supplier to their existing SI systems. So, we don’t get overly excited by the low margins, because we look at where really the value and the opportunity is for Westport as being a supplier, because they are creating the market and ultimately creating the market for us to be able to sell our technology and components. And that’s where we are going to make our returns.
Pavel Molchanov - Raymond James: Okay. When you guys gave guidance for your consolidated revenue at the beginning of the year, I think you were very present in retrospect saying that you don’t expect the VTEC to come back at any point until the end of the year has – do you think there is any prospect of it returning period 2015 or beyond?
Bill Larkin: I mean I could speculate, but let me deflect it back and say we have said for years with all respect to all of our friends and partners that are looking for government programs to accelerate the adoption of gas. Those are all good ideas, but we can’t let our business model depend on that, because as you just said, it’s unreliable. The timing is unreliable. The political will is not always there. We are certainly seeing the advantages of incentives. It’s not just a U.S. factor. There are incentives in lots of markets around the world. And those are always very helpful, but they are also fickle. So, honestly, we have really downplayed any of these incentives and if anything they help build infrastructure, they help build partnerships, but the tax credits that we have seen to-date, I don’t think have been what’s been driving the interest in the market though the long-term interest is going to come from the fundamental economic laws of the cost of natural gas versus the cost of oil. And so we think we need to build on that. And if and when we see tax credits come and go, they might give you a temporary bump, but it’s not what we would see part of our sustainable business. So, we really haven’t modeled any of it. We don’t pay a lot of attention to it. And if it comes, it will be a good thing. And if it doesn’t come, I think we have got a plan to get around it. So I realize that doesn’t give you a direct answer, but honestly that is how we look at it.
Pavel Molchanov - Raymond James: Okay, fair enough. Appreciate the color guys.
Operator: Thank you. Next question is a follow-up from Jerry Revich of Goldman Sachs. Please go ahead.
Unidentified Analyst: Hey, good afternoon. This is Matt on behalf of Jerry. Going back to Cummins Westport, can you just maybe touch on a little bit of the driver of the sequential decline in shipments early on in the 12-liter product cycle? And then secondly, maybe from an accounting standpoint, in the quarter, it looks like Cummins actually reported a slightly positive net income from the JV this quarter while you have shown a slight loss and maybe tough on what’s driving the disconnect there?
Bill Larkin: First of all, we can’t comment on specific unit volumes for each of the individual products. We are very happy with the uptake in the 12-liter. We are seeing good progress in that and very good feedback. I can answer the question on the difference in what Cummins reported and what we reported, I think we have talked about it before, there is usually about a one month lag in terms of what’s picked up in Cummins financial statements, their share of income versus ours which reflects the full quarter.
Unidentified Analyst: And just on the unit comment not asking to go into details, but just in general, the sequential decline, is that a seasonal effect or there is that….
Bill Larkin: Actually, I mean, honestly we don’t disclose 12-liter sales and I don’t think Cummins does, if the information is available….
David Demers: We are talking about unit shipments, you don’t forget there are multiple (indiscernible) in that unit count. And last quarter, there was quite a nice shipment of the international engine.
Unidentified Analyst: Right.
David Demers: I mean those kind of buy us the numbers. I think a better reflection frankly is the year-over-year in this case, because a year ago we didn’t have the 12-liter in Q1. This year we did and so you have seen 89% increase, that’s I think more reflective. We are actually quite happy with shipments of the 12-liter. We really only had one full quarter of shipment of the full 400 horsepower rating last year. And so this is really only the second quarter and shipments are just fine. So I wouldn’t read too much into the unit count, that’s just product mix.
Unidentified Analyst: Thank you.
Operator: The next question is another follow-up from Laurence Alexander of Jefferies & Company. Please go ahead.
Laurence Alexander - Jefferies & Company: Hi, there sorry. Just two more quick ones if I may. Did you ship the remaining three tender cars in Q4 – sorry in Q1?
Bill Larkin: Not yet, Laurence.
Laurence Alexander - Jefferies & Company: Okay. You still expect it to be shipped?
Nancy Gougarty: Yes.
Laurence Alexander - Jefferies & Company: Okay. And secondly, you used the word muted a few times this call and so I guess just wanted to check on something as you think about your bridge to cash flow positive over the next few years? In the past you have talked about a call it a 30% sales CAGR, would that sufficed for you to get to the free cash flow positive or do you need to do better than that?
David Demers: No, no, that’s exactly what we are trying to say Laurence is we are very happy with 30% compounded. And yet we find a few people disappointed that it’s not 100% year-over-year growth. So we are trying to tell people this is a slow and steady wins the race sort of game. This is going to take sometime. People need to build their fleet plans due to big capital expenditures. They are building infrastructure, 30% a year is actually pretty hectic growth for this industry, but we have seen people come out and say, well, we are really disappointed that you are not at 20% market penetration already. So that’s what I meant by muting expectations. We just need to be – have people be a little more realistic about the pace of change that’s required in an industry that’s this big and this complex. So, yes, I think 30% is realistic. It’s what we have traditionally built our business models on. And over time, that CAGR is going to add up to very big numbers.
Laurence Alexander - Jefferies & Company: And then lastly I guess Nancy, you did a rare joke on this call about the guns are blazing, the sheriff in town, what’s your read on the cultural change at Westport and how far are we in as I mean, whether like three innings in the nine-inning game or whatever sports metaphor you prefer to use?
Nancy Gougarty: Okay. So maybe I am into knitting or something I don’t know, but sports maybe not quite it, but I would say that I think that from where we are in terms of the organization, I would think that in the day-to-day vocabulary, you will hear a lot of words about execution, responsibility, and accountability. So, I would say, those are all terms that are now common and in the dialogue. I would say that where we are I think that we have turned the corner. I keep on telling people that one data point is we had quarter four. This is another data point. And when we get to three data points, we can call it a trend. I think that from my perspective, we are well on our way. We still have a lot of heavy lifting to do and but we have a very engaged and enthusiastic workforce around the world. And I see them very much backing what’s going on and I see them excited about seeing things that are moving us in a very positive direction to attract new customers and to advance this particular industry.
Laurence Alexander - Jefferies & Company: Thank you.
Operator: This concludes the time allocated for the question-and-answer session. I will now turn the call back over to Mr. Seed for closing comments.
Darren Seed - Vice President, Investor Relations and Communications: Thanks, everyone for your attendance and we do look forward to seeing everyone at this point estimated around late July what will be the second quarter conference call.
Operator: This concludes today’s conference call. You may disconnect your lines. Thank you for participating. Have a pleasant day.